Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Bottomline Q1 2021 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I’ll now turn the conference over to our host, Danielle Sheer. Please go ahead.
Danielle Sheer: Welcome to Bottomline’s first quarter 2021 earnings conference call. This is Danielle Sheer, and I’m joined by Rob Eberle, Bottomline’s CEO; and Rick Booth, the CFO. I’d like to remind everyone that statements made on today’s call will include forward-looking statements about Bottomline’s future expectations, plans and prospects. All such forward-looking statements are subject to risks, uncertainties and assumptions, including those related to the impacts of COVID-19 on our business and global economic conditions. The forward-looking guidance we provide today is based on our assumptions as to the macroeconomic environment based on the facts as we know them today. Many of these assumptions relate to matters that are beyond our control, including the impact of COVID-19. Please refer to the cautionary language in today’s earnings release and Bottomline’s most recent periodic reports filed with the SEC, for a discussion of the risks and uncertainties that could cause the Company’s actual results to be materially different from those contemplated in these forward-looking statements. Bottomline does not assume any obligation to update any forward-looking statements. During this call, Bottomline’s financial results are presented on a non-GAAP basis. These non-GAAP results include, among others, constant currency growth rates, gross margins, operating income, EBITDA, net income and earnings per share. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures is available in the Investor Resources section of our website. Bottomline will be providing forward-looking guidance on this call. And the summary of the guidance provided during the call is available from the Company upon request. Let me now turn it over to Rob for his remarks. Rob?
Rob Eberle: Good afternoon, and welcome to the Bottomline first quarter fiscal 2021 earnings call. As always, we appreciate your interest in Bottomline. We’re delighted to be reporting on a strong and strategically important quarter. Q1 was the first quarter, where 80% of our revenue was subscription revenue. We’ve worked hard to get to the point where subscription revenues and our SaaS platforms drive the bulk of our revenue. Reaching 80% is a meaningful milestone. Our results model line up well with the characteristics of the valuable SaaS platform business. A large $20 billion market opportunity and a leading competitive position in that market, targeted growth of 15% to 20%, with an opportunity to exceed that range, an attractive lifetime customer value as we retain customers for a decade or more and our platform strategy provides additional new revenue opportunities. The gross retention rate of 97% and a net renewal rate of well over 100%. Incremental gross margins 76%, and attractive EBITDA of $26 million. The progress with our SaaS offerings is to some degree masked by the legacy of traditional revenue streams, but with 80% of our revenue now driven by these platforms, the valuable business, we are growing come into clearer focus. With today is over $360 million of revenue, we can easily see $500 million as the next important milestone, one, which we’ll achieve within the next three years. At $500 million, our target growth rate translates into $75 million to $100 million of incremental high margin revenue a year. Stepping back from the quarter, we’re executing against our strategic plan to build a subscription business of scale driven by market-leading platforms, which feature solvent SaaS metrics. We continue to drive consistent profitability and cash flow, allowing us to invest in innovation and expand our product capabilities. Our strategic plan is focused on the product set, market position and execution needed to drive years and years of growth at or above our 15% to 20% target range. Before I get further in to my remarks, let me touch on the key financial results for the first quarter. We’re really pleased with our execution and the quarter’s results. Subscription revenue was $90.4 million, which was up 13% from a year ago. As in the prior quarter, we continue to see a COVID impact on our transaction based revenue streams, Paymode-X and legal spend management, which has disrupted the acceleration in our subscription revenue growth, but those transaction based revenues will return in full. Excluding those two platforms, subscription revenue growth was 25%. This is meaningful, as it demonstrates our potential to drive 20% of higher growth as the environment normalizes. Subscription bookings were $22.4 million, a strong start to the fiscal year. EBITDA was $26.2 million for the quarter, or 23% of revenue. The $26.2 million in Q1 puts us on track to be over $100 million in EBITDA for the year. And we continue to have a strong balance sheet as we ended the quarter with just under $200 million in cash. So strong financial results for the quarter. I’d like to now provide an example of how we win and how our product innovations position us well for continued growth. I’ll then conclude with some remarks on our commitment and plans to drive shareholder value. One of the key platforms driving our growth is our digital banking product set. We had a major win this quarter, which highlights the strength of our strategy and the opportunity for future growth. We’re pleased to be selected by a major regional bank, who will be deploying our DBIQ Payments and Cash Management platform with secure payments. It was particularly interesting and gratifying to see the bank accelerate the conversion of this customer facing strategic system, despite other competing priorities. They realized that if they waited, they were just falling behind their competition. They determined our platform was the clear market leader and represented the best opportunity to aggressively grow their business banking franchise. Beyond our technology, we were chosen because they saw a superior grasp of the bank’s strategic imperatives and enduring commitment to innovation, and unwavering commitment to their success not just in the sales and implementation phase, but importantly in empowering sustained competitive advantage for the bank. Like any bank or key customer, they were choosing a vendor and partner and not just based on our capabilities today, but as much more based on our innovation agenda and what we’ll have for the three, five, eight, 10 years from now. Across everything we do, we’re focused on building great products. They deepen the customer engagement and transform the digital experience. The innovation principles we set for ourselves across our entire product set, we’re providing a simple, intuitive and beautiful software experience. Leveraging embedded intelligence to personalize the user experience, ensure our platforms continuously learn and improve performance, and generate data driven intelligence and insights. And it’s all based on an open API-enabled architecture to make disparate systems work seamlessly, promote interoperability, flexibility and collaboration and reduce fragmentation and friction. I can give a couple of examples, related to our banking products set. One innovation effort under way is focused on the digital capabilities for corporate and commercial onboarding. Second important new platform capability we’re developing, is cash flow optimizer, which brings a variety of data related to cash from different sources into one intelligent platform, and then provides insights, predictions and recommendations, all driven by embedded intelligence. These platforms are additional means by which we help banks win and grow their business banking franchise, and drive continued growth for Bottomline. While we’re focused on customers, products and growing the business as the primary priority, we believe the value of the business is not currently reflected in the stock. We have a four-part plan to address that focused on growth, profitability, investor outreach, and a buyback program. First and foremost, we will continue producing growth driven by product leadership and innovation, with the huge market opportunity and a competitive advantage in the markets we address, which will translate to strong growth for years to come. We’ve 20% growth and our platform is not impacted by decreased volumes and 13% overall in the first quarter. This shows our ability to produce growth at or above our target 15% to 20% range in a normal environment, accelerating growth and drive a higher valuation. Second, we will continue to produce strong EBITDA, meanwhile making a significant investment in product development, marketing and sales. We had EBITDA of $26.2 million in the first quarter, which sets us up well to produce EBITDA of $100 million on the year, a result we’re fully committed to. Growth in investment remains our priority but we can achieve $100 million EBITDA as well. Third, we can do a better job ensuring more investors understand the value we’re creating. I’ll be doing that personally at several events and meetings with investors over the month of November. We’ve a great story to tell. $360 million of subscription revenue with strong SaaS metrics, a leading position in large important markets. Targeted growth of 15% to 20% with an opportunity to exceed that growth, and strong EBITDA. Bottomline represents an asymmetrical risk investment for any investor and an extremely attractive price point for SaaS investors. Finally, with the shares undervalued, we’ll be buying back shares beginning immediately under our previously authorized $50 million buyback program. So in conclusion we are really pleased with the results for the first quarter. We’re now an 80% subscription SaaS business. We are investing and winning and with more growth ahead. We’re building a valuable franchise, one was to serve customers and reward investors. With the continued growth of our product set and revenues FY 2021 will be an exciting and rewarding year for our Company and our shareholders. So, I’ll now turn it over to Rick and then we’ll open up the call for questions.
Rick Booth: Thank you, Rob. I’m pleased to report on another strong quarter, as both revenue and profitability exceeded guidance and expectations. This is the first quarter in which more than 80% of revenue comes from subscriptions. And so I thought it would be useful to share some traditional SaaS metrics to help investors evaluate as compared to other similar companies. We compare favorably in many ways. We have a $20 billion TAM, we offer mission-critical applications, and these create attractive lifetime customer value. Our retention and renewal rates help illustrate this. We have 97% gross renewal rates calculated on a dollar basis, on a rolling four quarter review, and our net renewal rates are over 100% when we have to cross-sell with new products and expansion of usage by our existing customers. As we add products and capabilities to our subscription platforms, these metrics should continue to rise. These customer relationships are valuable as our incremental subscription margins were 76%, and we deliver overall EBITDA margins over 20% while driving innovation to further accelerate SaaS revenue. So from an investor perspective, I believe the bottom line represents an attractive opportunity to invest in subscription revenue growth at a very attractive price. Turning to detailed results for the quarter. I’ll begin with our most important revenue stream, subscription revenues. The key story in the quarter was the growth in subscription revenues which are now at 80% of total revenues. Overall subscription revenue grew 13% and $90.4 million of subscription revenue is equivalent to $362 million per year. Just over 80% of total revenue came from subscription offerings, up 6 full percentage points from a year ago. And I found it particularly encouraging that subscription revenues were up 25%, when you exclude Paymode-X and LSM product lines which were impacted by transaction volumes in the short term. I’ll expand a bit on what we’re seeing in these two products. First, and most importantly, we continue to add customers in SaaS or faster than we did pre-COVID, as strong demand for new customers to adopt our solutions continues. We’re also bringing new customers live without delay in doing so virtually. In the short term, these positive trends are being offset by the impact of transaction volumes from existing customers due to the recent lockdowns and slowdown in economic activity in some of the key verticals we serve. As we had expected, legal spend management revenue reflected reduced transaction volume on a year-over-year basis from existing customers, offset by growth in the customer base, both domestically and in the UK market. The volume impact of the shutdown is an anomaly we do not expect to continue. Paymode-X, our payment volumes grew approximately 7% quarter-over-quarter, but total volumes from existing customers were still 2% below the same period in prior year. As an example, one of the verticals we serve is processing commission payments for travel agents and that’s off by 60% from normal volumes and revenues. Recurring revenue is now 93% of total revenue up 4 percentage points year-over-year. And total revenue at $112.4 million was ahead of guidance and expectations. Turning to sales, I’m pleased to report solid bookings and continued strong demand for our offerings. Customers signed 22.4 million of new subscription bookings and while these bookings figures are estimates, and customers take time to implement and ramp to full revenue production, this provides us with a high level of visibility into future revenue streams. Our Paymode-X network sold 27 new payers, including several large deals. We’re expanding our bank channel partners and seeing good traction with both our channel partners, and our direct sales force. We signed five new customers to our digital banking product set, including the large platform deal Rob described earlier. With those signings, we have approximately $18 million of annual digital banking subscriptions, which are signed, but not yet being recognized in our P&L. We expect the vast majority of the $18 million to go live this fiscal year. Our legal spend management network added six new customers and another six insurers expanded their relationships with us. So overall a solid quarter for new bookings. Turning to profitability. Subscription revenue growth continue to drive strong profitability. EBITDA of $26.2 million was 23% of revenue. Core operating income was $18.5 million and core earnings per share were $0.31, each of these metrics was ahead of plan and expectations. Subscription gross margin was 62%, up 2.4 percentage points year-over-year. In the quarter, we added $10 million of subscription revenue, of which 76% were just under $8 million flowed through to gross margin. Sales and marketing expense was $21.8 million or 19% of revenue as we have savings from travel and in-person conferences to further expand both our direct and channel sales efforts. Development expense was $17.1 million or 15% of revenues as we drove product innovation and platform expansion, while managing costs. Between sales and marketing and development, we’ve increased our growth investments from 32% of revenue to 35% in the last two years as we prioritized driving revenue growth. From a cash flow perspective, this allowed us to generate $8 million of operating cash flow, which reflects normal Q1 seasonality, and brings us to $87 million of operating cash flow and $43 million of free cash flow on a GTM basis. We ended the quarter with $197 million of cash and investments on hand and that gives us a well-funded financial position, which is important to our customers. Turning to guidance. In the upcoming quarter, we expect to continue to deliver strong performance. With subscription revenue of $94 million to $96 million, total revenue about $112 million to $114 million, core income of $17 million to $18 million, adjusted EBITDA of $24.5 million to $26.5 million, and core earnings per share of $0.27 to $0.28. Looking at full year, FY 2021, as payment volumes recover, we expect to see that reflected in our results. For subscription revenue, we expect to return to subscription revenue growth of 15% to 20%, driven by a combination of increased volumes from existing customers and sustained demand for our products and solutions. For EBITDA, we expect to produce $100 million or more of EBITDA in FY 2021 and for non-subscription revenue, we expect the customer preference for our cloud solutions over on premise applications to remain strong, and for services and maintenance to continue to become less important as we’ve seen in recent years. As we step back, based on our confidence in bottom line strategy, growth prospects and value, we will immediately begin buying back stock under our existing $50 million share repurchase authorization. Of the $30 million remaining on that authorization, we commit to no less than $10 million in repurchases to be completed between now and December 31. So in conclusion, I’m pleased to have been able to report on a strong quarter, a significant milestone as subscription revenues exceeded 80% of total revenue, 13% subscription revenue growth, and 25% excluding our COVID impacted lines, 76% incremental gross margins, 23% EBITDA margins and confidence in producing $100 million or more of FY 2021 EBITDA. And with that, we can open the call to questions.
Operator: [Operator Instructions] And our first question is from the line of Andrew Schmidt with Citi Financial. Please go ahead.
Andrew Schmidt: Hey, Rob, hey, Rick. Thanks for taking my questions. Good quarterly results here.
Rob Eberle: Thank you.
Andrew Schmidt: So why don’t you talk a little bit about the win rate of the business, the growth rate ex in 2021. Got a couple of things going on. Do you have a potential recovery in the volume based businesses? It seems like you’re experiencing an accelerated decline in the non-subsidy trends, which is a headwind in the near term but as you get to the end of 2021 and that part of the biggest business becomes a smaller part of the mix – the overall topline growth should accelerate. So just any comments around how we should think about just the run rate growth of the business, getting all those dynamics, particularly exiting this fiscal year.
Rob Eberle: I’ll make some comments, and I’m sure Rick would as well. The first thing I’d tell you what I always try to do as an operating executive is take a look at normalizing things for variables that have occurred. So I know, for example, we were headed into Q3 and Q4 of last year at 20% and then 21%, that was our forecast. With subscription revenue that’s usually pretty much right on the money. So you can feel good about the engine or I feel good about the engine driving growth in our subscription and growth in our business. The second data point then is one we referenced on the call here when we take out the transaction based revenue models that are legal spend management and Paymode-X, 25% growth in the quarter. So I think the question is, when do we see volumes normalize and at that point in time I have every confidence would be in our 15% to 20% target growth range and I think there is a potential for us to be above that. I’m aware it’s tougher to take exact timing, but the engine driving growth in our business is as strong as ever.
Rick Booth: Well said, Rob. The other bit of context that I want to just remind everyone is that we planned and expected the migration away from license revenue and some maintenance revenue this year going from fiscal 2020 to fiscal 2019, that’s a more than $10 million hit. And the beautiful thing is in the fourth – in this quarter, we had less than $1 million of software, so less than 1% of revenue. So it’s impossible for that to be a significant drag going forward. So I just wanted to remind people given the comment about other revenue.
Andrew Schmidt: Yes. That’s helpful. I appreciate that. And then, I appreciate all the comments on innovation of the products that you did. You think it’s helpful for investors understand what you’re doing in more details regarding innovation. So that’s helpful. The – I guess Rob in your prepared remarks, you had a lot of comments in terms of just what you’re trying to do from an innovation perspective. But if we take a step back, you know, if you look at the product set which products are most exciting which have the most potential, may be talk about the product roadmap over the next year or two that would be helpful.
Rob Eberle: Well, the first thing I’d say a lot of what we’re doing, in fact I’d say across the board what we’re doing in terms of product innovation, some of the things I talked about machine learning, personalization, data insights, beautiful software and then intuitive experience, APIs, all of those pieces. Those are common across all of our platforms. That’s our innovation agenda across all of our platforms. I think the dynamics and opportunities are a little bit different. So like let’s take a look, I think the largest opportunity we have in Europe and in the US is really around businesses paying and getting paid. That would be PTX in Europe, Paymode-X in the US. That’s certainly the biggest overall TAM. From a competitive position, really attractive market we also address is digital banking, where our banks that are service about their business banking franchise want to compete and grow above our share, grow customer count, grow their business, we’re going to slide the bottom line. And so the opportunity there is really significant. Not just to win those deals, but the new capabilities like some of the things that I referenced during the call, commercial onboarding and our cash flow optimizer. So those are two huge market opportunities for us. We will spend, management doesn’t have the same size market opportunity, but the position we have is so strategic. We’re seeing all of the flow of legal billing from major insurers. So one of the things we’ve been doing there is introducing new capabilities, law firm analytics for example the law firms can subscribe to or the carriers. So new product opportunity as well as continuing to sell. If that sounds like I didn’t have a particular favorite, that’s right, because I think each of those major areas we’re investing in and driving growth in, payments in Europe, payments in the US, digital banking, legal spend management, they all have a great opportunity and if you step aside from transaction impact, every one of them is growing at or above our target range.
Andrew Schmidt: That’s helpful context. And just, just last question, on LSM, could you talk a little bit about kind of the recovery curve that are – I know there can be a lag in terms of just legal claims being submitted and things like that. So maybe just talk about what you’re seeing and how we should expect that to trend that would be helpful.
Rick Booth: You’re right, Andrew. The lag between an accident and litigation and suing and therefore legal bills can range approximately six months and we have commented in our last call that volumes were up in July relative to what we had seen in May and June, but not as materially as we have seen in Paymode-X, it’s actually trended slightly down in August. So July to August was slightly down, but then we’ve seen a steady recovery in each of the following months. So three months so far of some slight improvement.
Andrew Schmidt: Okay, got it. Thank you, Rob. Thank you, Rick. Appreciate the comments.
Operator: Our next question from the line of John Davis with Raymond James Financial. Please go ahead.
John Davis: Hey, good afternoon guys. Rick, one quick one for you here to start off. I appreciate the color on the full year, I’ll call outlook in those non-official guide it seems to imply the margin will be a little bit down from what was in 4Q and be clear the 1Q margin was definitely will have expectations, but just curious the puts and takes, what did drive the margin just lower travel expense and kind of how do you see that trending throughout the rest of the year just from a margin perspective.
Rick Booth: Yes, we, so first of all, as you recall, when we were talking in our last earnings call, people were asking about the outlook and we acknowledged that there was – that there was some uncertainty out there. So we’re in the face of uncertainty. We’re always prudent in managing costs. We have some great product opportunities that are in front of us. And so our hope is to ramp our investments as we move through the year. We’ve got some flexibility, so we’re highly confident in our ability to deliver the EBITDA forecast, but our goal is to optimize subscription revenue growth, while continuing to provide an attractive EBITDA as Rob referenced, consistent profitability is our team as opposed to maximizing profitability in the short term, given the large space that we’re targeting.
John Davis: Okay, that’s helpful. And then I apologize, you’ve gone quickly and I missed it, the bookings number again and then just coupled with that, we have a lot of checks we’ve done in private companies we’ve talked to as well as banks have really talked about the increase in tech budgets as a result of the pandemic. So just curious for more of a subjective perspective, are you guys seeing that uptick in demand, is your pipeline building. Just kind of any kind of macro comments you can give, maybe both here in the US and in the UK.
Rob Eberle: Yes there is no question, we’ve seen an uptick in demand. We track that at the top of the funnel, on the orders on any given quarter particular quarter that includes somewhat of a difference on summer month. I thought it was really strong solid orders number but yes-no question we’re seeing more demand, more interest and I think that translates into opportunity which just Rick referenced, we’re making the investment around product and marketing and sales to maximize that.
John Davis: Okay. Rick, can you just quickly the bookings number again, sorry I missed it during the prepared remarks?
Rick Booth: $22.4 million, JD.
John Davis: Okay, thanks. And then Rob maybe a bigger picture question. I think the 25% ex the transaction related businesses is encouraging and Rob, you alluded to even upside in the 15% to 20% over the longer term or maybe even exceeding this year. But from a higher level, I think you got touched on it on Andrew’s question. But if we think about the three different businesses that you have the payment network business in the US and in Europe, the digital banking and LSM, how do we think about what those growth rates are for those different businesses and how we can get to potentially 20% or even higher. Is it digital banking needs to grow 25%, is it an upside in the payments? How do we kind of get to that 20% plus from a growth perspective for those three different businesses?
Rob Eberle: Well, we just have for our self satisfied about what do you get to that, but it’s pretty much and of course we didn’t see that occur with the disruption of COVID, but we know we can get there. It’s each piece is contributing to that there isn’t a single driver and that’s more important than another. But each piece is contributing to that. So we know we can get to that range. The way I think about that, I think we’re going to deliver attractive growth and attractive value at 15% to 20% is a good possibility, we can achieve above that and if we do we just outperform.
John Davis: Right. That’s fair. And suffice it to say, there is not one business that’s going to grow materially faster than that range or all kind of in that range, maybe slightly above, slightly below, but it’s not, you don’t see digital banking to grow 25% for Paymode-X to grow 30% to get to that number is all kind of in the 15% to 20% plus or minus. If there is not a big difference in growth rates in the business, if I guess I get it.
Rick Booth: Right. There is broad strong demand in each of those verticals and you really think about them as part of the same large opportunity, how businesses pay and get paid and banks are one of the means in which we reach them. So it’s not surprising to me that we have consistent growth rates across the product lines.
John Davis: Okay. And then last one from me quickly just more of a modeling question for Rick. So you alluded to service and maintenance revenue stepping down. Is there an expectation for the year at least for 2Q, it looks like it’s stepped down a little bit from 1Q. So should we expect just sequential declines throughout the year. You’ve been very clear that’s going to get smaller shrink over time, but just trying to think about how we should model that fine throughout fiscal 2021?
Rick Booth: I would expect to see a slowing of the rate of decline and I would model it separately. So license, we’ve essentially taken the hit that we planned. So that’s pretty clear. In looking at service and maintenance, I would expect that the rate of decline to slow in the second half of the year.
John Davis: Okay, all right, thanks guys.
Operator: Our next question from the line of George Sutton with Craig-Hallum. Please go ahead.
Adam Kelsey: Thank you. This is Adam on for George. In the press release, you referred to working with 35 banks in Europe on SRT, I was hoping if you can provide a little more detail on that. Are these banks that have been working with Bottomline before and is there any opportunities for geographic expansion with any of them?
Rob Eberle: It’s some of both, it’s some of both, we were ahead and others around this directive. It’s a part of our Financial Messaging solution we have new customers and existing that we’re working with on that and it certainly adds to our competitive advantage and attractiveness. We – it’s what we want to do in each area where we participate as be ahead of regulatory changes or open banking type changes, which are balance sheet changes like machine learning and analytics that I referenced earlier. So specifically to your question, it’s some of both. And it, but it’s all new revenue in each of those banks.
Adam Kelsey: And from a geographic perspective is that limited to a few specific countries or is it more widespread?
Rob Eberle: We do – that specific thing is focused more around the banks we work with in Europe in Geneva in particular. But what we’ll typically see is in the technologies that will depart for down we deploy around the world, Singapore and Australia and London and US our universal aggregate was part of our FM Solutions, financial messaging solution set. That’s one of the core pieces in our partnership with based on B2B Connect, for example. So which we will do is take technologies and use them in different marketplaces which that was slight adjustment typically the payment types of protocol. But we can deploy that most of our technologies around the world.
Adam Kelsey: Great. And obviously a couple of small acquisitions in the quarter, I was hoping just relative to that, how should we think about what’s your approach to M&A is going to look like in the future as you build toward this new innovation plan.
Rick Booth: We focus our attention on expanding functionality and strategic advantage rather than chasing the largest, the largest companies in any given size. We maintain price discipline.
Adam Kelsey: All right, great. Thank you.
Rick Booth: I would – yes, I would not expect M&A to be a hugely material use of capital on a go-forward basis.
Operator: Thank you. Our next question from the line of Brett Huff with Stephens Incorporated. Please go ahead.
Brett Huff: Good afternoon, guys. Hope you are well?
Rick Booth: Hey Brett.
Brett Huff: I wanted to dig in a little bit on the 15% to 20% 2021 outlook – first of all, I appreciate that sort of I know it’s still pretty uncertain. And so I appreciate the range. But I want to make sure that I got sort of what the parameters of the caveats were. The way I read it in the release was kind of depends on how COVID macro sort of comes out and I want to make sure I heard again how we should think about that 15% to 20% in 2021 kind of what’s built into the macro assumptions there, just so we know how to sensitive – do a sensitivity on it.
Rick Booth: I think you put your finger right on it, Brett. The key unknown is how quickly we will see the economy returning to normal. So we know that as the economy returns to normal, we’ll see that 15% to 20%, as I mentioned, and I gave some indicators. We’re seeing some recovery of payment volumes for example 7% quarter-over-quarter. But as of now, there is still 2% below prior year and normally, they would be significantly above. So dependent on the state of the economy in either Q3 or Q4, we should see that, but we’re not ready at this point to provide a precise guide on full year in terms of revenue. Nonetheless, we are confident that with our operating discipline, we can deliver on our EBITDA commitment.
Brett Huff: Okay, that’s great. And so just to dig in a little bit on that. It was my second question, I’m glad you mentioned the payments volume. So the 7% was total Paymode volume growth that you’re seeing in the first quarter. And normally kind of it runs at 900, is that the right way or 9% is that the right way to interpret what you said?
Rick Booth: No, we would normally see normally see payment volume increases are up more significantly than that, but it was up 7% sequentially. So from the quarter ended June 30 to the quarter ended September 30.
Brett Huff: I see. So it’s up 700 basis points sequentially. And did you tell us what –
Rick Booth: No, 7 full percentage points. Yes.
Brett Huff: I’m sorry, 7 points higher sequentially. And did you – you were talking, there was a lot of info. Did you actually say what the actual growth was. I’m just wondering, I didn’t miss that.
Rick Booth: Sorry, could you repeat the question?
Brett Huff: Yes, I just wanted to – did you actually give the Paymode volume growth. If you gave that I just want to make sure I got it.
Rick Booth: Yes, it was up 7% from June to September, but September 2020 we’re still 2% below the payment volumes that we saw in September 2019.
Brett Huff: Okay. And then on the new initiatives with the buyback, I guess that we’re going to start right away. In addition to that, you mentioned sort of a little bit more outreach to investors. It sounds like you’re getting started in November to do that what other, what other items are going to be on that. Does it sounds like maybe we get some more incremental data points, such as the SaaS metrics that you provided and things like that.
Rob Eberle: No, I think it’s just that I think at 80% here of our revenue is subscription revenues driven by market-leading SaaS platforms but big opportunity in front of them, I think it’s a great story to tell. And I don’t think that story has been squared off for investors. It’s capital markets and investors decision but I’m told by those that do get close to us and look at it this, if I can get our SaaS business that’s upscale $360 million. Yes, it’s not growing at 40% or some of the superstar rates but it’s government attractive and predictable growth level and I can get in that at a price point multiple that’s entirely different from what I’ve seen and others, which creates asymmetrical risk. I think there’s significant upside that we can be seen in the clearer picture of what we really have built around the subscription revenue streams in SaaS platforms to trade at a much higher level and we’re at today and that’s the story I will be telling.
Brett Huff: That’s great. And last one from me. Sorry to ask so many questions. Rick, could you just repeat the SaaS metrics that you gave us, those were sounded like they were helpful and I couldn’t write fast enough.
Rick Booth: Yes, certainly, so 97% gross – gross renewal rates and well over 100% net renewal rates even in today’s environment. And we’re confident that those will move up over time as we continue to build the functionality into our platforms. And those relationships, the customer relationships are very, very valuable because of our 76% incremental gross margin on subscription revenue. That to me is a real opportunity.
Brett Huff: Okay, great. Thank you. I appreciate the extra time.
Operator: And our next question from the line of Peter Heckmann with D.A. Davidson. Please go ahead.
Unidentified Analyst: Good evening. This is Carson on for Pete. Thanks for taking our question. Just one quick one on your recent M&A activity. Can you provide the annual run rate and purchase price for your two new acquisitions.
Rick Booth: Certainly, I can address that question. And I mentioned this earlier, but I can go into a bit more detail. We focus our attention on expanding functionality and strategic advantage as opposed to going after the largest companies in a given market. So FMR for example is a very small company focused on corporate onboarding, and that’s a perfect extension of our existing account opening tools and that will significantly extend the reach and functionality of our platforms as we integrate the capabilities but on day one, we’re taking on board three customers, five employees, and our total expenditure on that was $2.3 million. So as you would expect there’s minimal revenue in the short term, but it helps accelerate on our on-boarding development efforts. With MSS, it’s likewise focused on strategic advantage. In this case on acquiring local language capabilities to extend our financial messaging solutions more deeply into German speaking Europe, a small but experienced team is focused on extending our reach. But there is no significant contribution in FY 2021 results.
Unidentified Analyst: Great, very helpful. Thanks a lot for your time. Appreciate it.
Rob Eberle: I think the common theme, you can see there on our M&A strategy is being creative and smart, being price sensitive, finding value without spending a 15 times revenue company which there’s plenty around, there is plenty of opportunity to do that that could add some things, but I think what we’re doing is executing far more effectively and efficiently around M&A.
Unidentified Analyst: Right. Completely understood. Thank you.
Operator: Thank you. And I’ll turn it back to management for closing remarks.
Rob Eberle: Well, thank you. Thank you for your interest in Bottomline. Very strong quarter for us, in line with the results and even more excited for the year ahead. I appreciate your time and interest.
Operator: Thank you. Ladies and gentlemen, this conference call has ended. We thank you for using the AT&T Conference Service. You may now disconnect. Thank you.